Operator: Good day and welcome to the John B. Sanfilippo & Son, Inc. Third Quarter Fiscal 2023 Operating Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Instructions will be given at that time. As a reminder, this call is being recorded. I would now like to turn the call over to Jeffrey Sanfilippo, CEO. You may begin.
Jeffrey Sanfilippo: Thank you. Good morning, everyone and welcome to our 2023 third quarter earnings conference call. Thank you for joining us. On the call with me today is Frank Pellegrino, our CFO; and Mike Finn, our Vice President and Corporate Controller. We may make some forward-looking statements today. These statements are based on our current expectations and involve certain risks and uncertainties. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to the filings to learn more about these risks and uncertainties that are inherent in our business. I am proud to report record diluted earnings per share for our third quarter and our second consecutive quarter of double-digit diluted earnings per share growth. This strong performance was mainly driven by volume growth in all three of our distribution channels, as our net sales increased by $20 million or 9.1% compared to last year's third quarter. I'm especially proud of this accomplishment, given the ongoing challenging operating and inflationary environment. Our Board of Directors met yesterday and approved $1.50 per share special dividend, reinforcing our goal of creating long-term shareholder value by returning capital to our shareholders. The dividend will be paid June 22, 2023 to stockholders of record as of June 1, 2023. As announced last quarter, we began to ship our new product line of private brand nutrition bars to mass merchandising retailer during the third quarter and anticipate shipping private brand nutrition bars to additional customers during the fourth quarter. We have received favorable feedback from our retail partners and expect to gain additional nutrition bar customers in subsequent quarters. As we look ahead to the fourth quarter and to fiscal 2024, we are focused on executing our long range plan to accelerate volume growth and deliver sustainable earnings growth. We will continue to optimize our cost structure, focus on portfolio optimization, diversify our product offerings and increase flexibility as we continue to respond to the ongoing macroeconomic volatility. Our strong operating results would not be possible without the dedication of our talented employees who continue to exceed expectations and create value for our customers and shareholders. At this time last year, we were just completing our pricing actions to help offset inflationary input costs that most companies face in 2022. And in Q3 last year, we were also overcoming supply chain challenges. We are in a much better supply and freight environment today, and we are cycling against the full year where consumers have reacted to higher retail prices at the shelf.  While there has been demand destruction as a result of the higher prices, we are monitoring consumer behavior and demand trends in all of our categories as retail prices have stabilized. We created a long range plan that defines our future growth priorities. And over the past several years, the company has made significant investments in our manufacturing capabilities to support those growth strategies. The peanut butter line in our Bainbridge, Georgia facility was upgraded to enhance the quality of our product portfolio and expand capacity. As a result, we've increased our peanut butter business with several key customers in our Consumer and Foodservice segments. The most significant equipment investment and new product capability we've made is in manufacturing high-quality energy bars. We developed an extraordinary cross-functional team to enter a new category for JBSS in a short period of time. The hard work, dedication and leadership demonstrated by our innovation, R&D, engineering, operations, procurement, quality, tech services, marketing and sales departments has transformed the company. JBSS is executing our growth strategy to diversify beyond snack and recipe nuts. And our entry into the energy bar category is a great start. And we are excited about the opportunities ahead to grow this business segment. As I mentioned last quarter, the snack bar category is around $8 billion in size across our omnichannels and $6.6 billion in IRI MULO and consistently grew for over a decade until the pandemic started. Post-COVID, it has bounced back with strong dollar growth this past year.  One of the white spaces in the category is high-quality retailer brand offerings, and we believe JBSS can become the partner of choice in the Nutrition Bar segment for retailer brands, given our strong track record of quality, service and innovation. We also announced the acquisition of the Just the Cheese brand completed during the second quarter of fiscal 2023. We are excited to add the brand to our portfolio as it complements our current brand offerings in the snack category. And the acquired production capabilities will help accelerate growth with our private brand and foodservice customers. The cheese category is an exciting new business segment for JBSS. We recently gained new distribution for this brand and our consumer channel with shipments beginning at the end of our fourth quarter. There are also plans for this new product capability to develop inclusions and mixes to differentiate our brand and to offer to our private brand partners. In addition to entering new product categories, our long range growth plan also includes transforming our branded portfolio. I mentioned on our last call, the relaunching and rebranding of our Orchard Valley Harvest product portfolio. The new product and packaging are just entering the market now, and we are focused on expanding distribution, building brand awareness and trial with innovative marketing programs and allocating a portion of the sales to support our partner Conscious Alliance to help end child hunger. We will report more on our OVH performance in future earnings calls. At this time, I'll turn the call over to Frank to discuss our financial performance. Frank?
Frank Pellegrino: Thank you, Jeffrey. Starting with the income statement. Net sales for the third quarter of fiscal 2023 increased 9.1% to $238.5 million compared to net sales of $28.6 million for the third quarter of fiscal 2022. The increase in net sales was attributable to a 5.0% increase in sales volume, which is defined as pounds sold to customers, and a 3.9% increase in weighted average sales price per pound. The increase in the weighted average selling price was mainly attributable to the normalization of selling prices with tree nut acquisition costs, as well as higher commodity acquisition costs for peanuts and dried fruit. Sales volumes increased 2.1% in the consumer distribution channel, primarily due to a 2.1% increase in sales volume for our private brands, partially offset by a 0.6% decrease in sales volume for branded products. New private brand peanut butter business at a mass merchandising retailer and increased peanut butter distribution at a grocery store retailer were substantially offset by lost distribution with a private brand grocery customers that occurred in the fourth quarter of fiscal 2022. Excluding this lost distribution, private brand sales volume grew by 4.7%. The sales volume decrease for our branded products, which includes Fisher recipe nuts, Fisher snack nuts, Orchard Valley Harvest and Southern Style Nuts was mainly attributable to a 15.7% decrease in the sales volume of Fisher snack nuts due to decreased merchandising activity at a major customer and a seasonal rotation at a club store that did not repeat in the third quarter. This decrease was significantly offset by a 20.8% increase in sales volume of Orchard Valley Harvest due to a tightening of sales by major customers in non-food sector who delayed their orders in the previous quarter and increased promotional support at that same customer. Sales volume increased 18.9% in the commercial ingredients channel due to a 30.5% increase of sales volume to foodservice customers due to increasing of our distribution at existing customers. Sales volumes increased 7.5% on the contact packaging distribution channel primarily due to increased peanut and cashews distribution at an existing customer. Third quarter gross profit margin as a percentage of net sales increased to 20.9% compared to 18% for the third quarter of fiscal 2022 as margins have returned to more normalized levels. The prior comparable quarter was negatively impacted by higher than anticipated commodity acquisition cost and other inflationary cost increases. Gross profit increased $10.4 million or 26.3% due to same reasons contributing to the increasing profit margin as well as increased sales volume. Total operating expenses for the current third quarter increased $6 million in the quarterly comparison due to increases in incentive and base compensation, consumer insight research and related consulting expenses, as well as a one-time gain in the comparable quarter, which did not reoccur in the current quarter. These increases were partially offset by a decrease in freight expense. Total operating expenses for the current third quarter increased to 11.7% of net sales from 10.1% for last year's third quarter due to the reasons I just highlighted. Interest expense for the current third quarter increased to $600,000 from $500,000 for the third quarter of fiscal 2022, primarily due to higher weighted average interest rates. Net income for the third quarter of fiscal 2023 was $15.7 million or $1.35 per diluted share compared to $11.9 million or $1.02 per diluted share for the third quarter of fiscal 2022. Now taking a look at inventory. The total value of inventories on hand at the end of the current third quarter decreased $20.8 million or 9.8% compared to the end of the third quarter of fiscal 2022. The decrease in the value of inventories was primarily due to lower commodity acquisition costs for all major tree nuts, partially offset by higher acquisition costs for peanuts and other raw materials, and higher on hand quantities of raw material -- other raw materials and cashews. The weighted average cost per pound of raw nut and dried fruit input stock on hand at the end of the current quarter decreased 24.1% in part in the weighted average cost per pound at the end of the third quarter of fiscal 2022 and was driven by lower acquisition costs for all major tree nuts. Moving onto year-to-date results. Net sales for the first three quarters of the current year increased 9.6% to $765.5 million incurred in the first three quarters of fiscal 2022. The increase in net sales was primarily attributable to an 8.8% increase in the weighted average selling price per pound and a 0.8% increase in sales volume. The sales volume increases in the commercial ingredients channel and contract packaging channels were offset by slight sales volume decline in the consumer channel. Gross profit margin was unchanged at 20.5%. Total operating expenses for the current year-to-date period decreased $7.8 million to $88.2 million. The increase in total operating expenses was mainly due to increases in incentive, base and equity compensation expense and sales broker commission expenses. In addition, a non-recurring gain of approximately $2.3 million from the sale of our Garysburg, North Carolina facility, which occurred in the first quarter of fiscal 2022 also contributed to the overall increase. These increases were partially offset by decreases in advertising spend and freight expense. Net income for the first three quarters of fiscal 2023 was $48.2 million or $4.14 per diluted share compared to net income of $44.4 million or $3.83 per diluted share for the first three quarters of fiscal 2022. Please refer to our 10-Q, which was filed yesterday for additional details regarding our financial performance for our third quarter of fiscal 2023. Now I will turn the call over to Jeffrey Sanfilippo to provide additional comments on our operating results for the third quarter of fiscal 2023 and discuss category charts.
Jeffrey Sanfilippo: Great. Thanks Frank. I appreciate the financial update. I'd like to now share some category and brand results we achieved for the quarter. As always, the market information I'll be referring to is IRI reported data and for today, it is the period ending March 26, 2023. When I refer to Q3, I'm referring to 13 weeks of the quarter ending March 26.  References to changes in volume or price are versus the corresponding period one year ago. We look at the category on IRI's total U.S. definition, which includes food, drug, mass, Walmart, military and other outlets, unless otherwise specified. And when we discuss pricing, we are referring to average price per pound. Breakouts of the recipe, snack and produce nut segments are based on our custom definitions developed in conjunction with IRI. And the term velocity refers to the sales per point of distribution. First, the total nut and trail mix category was flat in dollars and down 2% in pound volume in Q3. This is actually slightly better pound rates than we saw last quarter, while retail dollars slightly declined. All segments continued to decline in pound volume in Q3, while trail mix and snack nuts grew in dollars. Overall, prices across the category were up in Q3 versus the prior year 3%. Pricing has started to moderate across segments. The references prices were up 5.3% in just Q2 of this year. Now I will cover each segment in more depth, starting with recipe nuts. The Recipe Nuts segment was down 1% in dollar sales and down 3% in pound sales. This is a slightly worse dollar performance than we saw in Q2, but better pound performance. Prices of recipe nuts were up 2.1% versus last year. Price increases have moderated since the beginning of our fiscal year. Our Fisher brand had another successful quarter, growing 20% in dollars and 21% in pounds. Fisher's performance resulted in growing dollar share of 2.9 points, and Fisher remains the branded leader. Fisher's performance was driven primarily by increased distribution and velocity in the mass channel. Now, let me turn to the Snack Nut segment. In Q3, the Snack Nut segment was up 1% in dollar sales and down 1% in pound sales. This is slightly better than the performance we saw in Q2. Like we saw in recipe, pricing is starting to stabilize in the snack nut category with prices up 1.6%. Fisher snack performed worse than the category, down 3% in dollars and 11% in pounds. On peanuts, the largest nut type within our Fisher brand, we're continuing to see significant competitive pricing and promotional pressure. We are executing our competitive response by balancing profitable growth and not contributing to devaluation of the peanut category. We have also lost distribution on Fisher snack smaller pack sizes as consumers are looking towards larger value packs. We continue to see strong results in the Oven Roasted Never Fried line across our large sizes. We are focused on continuing to build distribution and drive velocities against this line. The Trail and Snack Mix segment was up 5% in dollars in Q3 and down 2% in pounds, relatively consistent with the performance we saw in Q2. Prices of trail mixes were up 7.3%, slightly less than the last quarter. Our Southern Style Nuts brand declined 5% in dollars and 8% in pounds. Declines were solely driven by the club channel as competitive and pricing pressure has increased. The brand continues to grow in mass and grocery. Private brands continue to drive the trail mix category growth, up 6% in dollars in Q3. Our last segment, Produce Nuts declined 2% in dollar sales and 5% in pound volume in Q3. This is slightly worse than the performance we saw in Q2. Our produce nut brand, Orchard Valley Harvest, declined 14% in dollar sales and 10% in pound sales, driven by distribution declines in the mass retailer offsetting strong performance in the grocery channel. We have started the repositioning and relaunch of this brand as I mentioned, and we should start seeing new products flow into the market next quarter. I'd now like to turn the call back over to Michelle to open up the line for any questions. Michelle?
Operator: Thank you. [Operator Instructions] I'm not showing any questions. I'd like to turn the call back over to Jeffrey Sanfilippo for closing remarks.
 :
 :
Jeffrey Sanfilippo: Thank you, Michelle. In closing, first, I want to say, I'm so proud of this organization and every person that helps support our business. It is an extraordinary quarter. It's been an extraordinary year in spite of the headwinds we face across this country. We also faced a number of challenges in the future, which include the impact of ongoing inflation in food and other input prices, rising interest rates that reduced economic growth and the potential for an economic downturn in the markets in which we operate. We also continue to experience a tightening in the labor market for those employed at our production facilities, which has led to increased labor costs. However, I am very confident in the strategic investments we have made in our people, customers and capabilities to overcome these challenges and drive future earnings growth. Our company and our team of dedicated leaders and frontline associates throughout the head -- throughout the organization remains steadfast and strong. We have always adapted quickly to overcome headwinds. And our insights, innovation, R&D, marketing and sales teams are laser-focused on consumer behavior and consumption trends to develop new products and pursue new brand opportunities, as well as pursue elevated demand with our private brand retail partners. I'm confident we have the right strategies, talent and business model to continue to grow and provide exceptional value and innovation for our customers and consumers. We appreciate your participation in the call, and thank you for your interest in our company. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.